Operator: Good day, and thank you for standing by. Welcome to the Q3 2023 Enact Earnings Conference Call. At this time all participants are in a listen-only mode. After the speakers presentation, there’ll be a question and answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Daniel Kohl, Vice President of Investor Relations. Please go ahead.
Daniel Kohl : Thank you, and good morning. Welcome to our third quarter earnings call. Joining me today are Rohit Gupta, President and Chief Executive Officer; and Dean Mitchell, Chief Financial Officer and Treasurer. Rohit will provide an overview of our business performance and progress against our strategy. Dean will then discuss the details of our quarterly results before turning the call back to Rohit for closing remarks. We will then take your questions. The earnings materials we issued after market close yesterday contain our financial results for the quarter, along with a comprehensive set of financial and operational metrics. These are available on the Investor Relations section of the company's website at www.ir.enactmi.com. Today's call is being recorded and will include the use of forward-looking statements. These statements are based on current assumptions, estimates, expectations and projections as of today's date. Additionally, they are subject to risks and uncertainties, which may cause actual results to be materially different, and we undertake no obligation to update or revise such statements as a result of new information. For a discussion of these risks and uncertainties, please review the cautionary language regarding forward-looking statements in today's press release as well as in our filings with the SEC, which will be available on our website. Please keep in mind the earnings materials and management's prepared remarks today include certain non-GAAP measures. Reconciliations of these measures to the most relevant GAAP metrics can be found in the press release, our earnings presentation and our upcoming SEC filing on our website.  With that, I'll turn the call over to Rohit.
Rohit Gupta : Thanks, Daniel. Good morning, everyone. Our team delivered very strong results in the third quarter as we continue to execute against our strategy. We reported adjusted operating income of $164 million or $1.02 per diluted share and generated a 15% adjusted operating return on equity.  Insurance-in-force reached a record $262 billion, up 8% year-over-year driven by new insurance written of $14 billion and persistency that remained elevated at 84%. We saw disciplined growth in our insured portfolio with stable new business production and higher persistent fee amid higher interest rates. Investment income continued to accelerate, and we continue to exercise expense discipline.  Credit performance remained strong, accompanied by a seasonal uptick in new delinquencies and the seasoning of newer large books. We remain confident in our strategy and our business and in the continued strength of the private mortgage insurance model. The economy continues to be resilient, supported by the strong labor market and household balance sheets that remain healthy. Having said that, macro factors, including geopolitical conflicts, persistent inflation and higher interest rates and a lessening of the cash buffers consumers have had since the pandemic continue to be risks.  However, delinquency rates for prime mortgage borrowers are consistent with pre-pandemic levels. Our manufacturing quality continues to be strong and credit risk remains well within our appetite. Even as housing activity has slowed amid higher borrowing costs, we remain confident in the long-term outlook for housing as well as demand for mortgage insurance. Home prices continue to be supported by low housing inventory and strong demand, particularly among first-time homebuyers and mortgage insurance will remain an important tool to help buyers qualify for a mortgage. In addition, while higher interest rates have affected mortgage originations, higher persistency has continued to support insurance-in-force growth. As of September 30, only 1% of the mortgages in our portfolio had raised at least 50 basis points above the prevailing market rate.  Pricing on new insurance written remained constructive in the quarter. In response to continued macroeconomic uncertainty, we increased our price on NIW, ensuring we continue to underwrite risk at the appropriate level while remaining competitive. The credit quality of our insured portfolio remains strong. The weighted average FICO score was 744, the weighted average loan-to-value ratio was 93%, and our layered risk remained level with the second quarter at 1.3% of risk in force. Our delinquency rate was 2%, up 11 basis points sequentially, flat year-over-year and consistent with pre-pandemic levels. The loss ratio in the quarter was 7%. Continued strength in the labor market, healthy household balance sheet and our loss mitigation efforts helped drive strong cure activity and as a result, we released $55 million of reserves. New delinquencies rose in the quarter, primarily driven by seasonality and the seasoning of newer large books. We continue to take a prudent approach to loss reserves and believe we are well reserved for a range of scenarios. We continue to operate from a position of financial strength and remain well capitalized relative to regulatory requirements. PMIERs Sufficiency at the end of the quarter remained strong at 162% or $2 billion of sufficiency and 91% of our risk in force was covered by credit risk transfers.  We remain disciplined with respect to capital allocation and focus on our 3 pillars: Supporting our policyholders, investing to enhance and diversify our platform, and returning capital to our shareholders. As previously announced, during the second quarter, we launched Enact Re, a reinsurer that expands our franchise through access to new business opportunities, including the GSE credit risk transfer market. I'm pleased to note that Enact Re participated in all 6 of the GSE deals that came to market since its launch. Between its quota share agreement with EMICO and its successful participation in the GSE transaction, and as we continue to utilize the capital initially contributed by EMICO and we are pleased with the strong underwriting and attractive risk-adjusted returns we have seen from these transactions. We continue to see Enact Re as a long-term capital and expense efficient growth opportunity. We also continue to pursue ways to expand Enact Re platform into new related opportunities. During the quarter, we entered into an agreement with Core Specialty through which Enact will provide underwriting advisory and expertise, market intelligence and portfolio analysis in support of Core Specialty's entrance into the mortgage reinsurance market through GSE credit risk transfer. Core Specialty closed its first transaction during the quarter, leveraging Enact's mortgage expertise, and we look forward to continuing to support Core Specialty and expanding on this market opportunity.  We also continue to return capital to our shareholders. I'm pleased to note that yesterday, we announced the Board's approval of a special cash dividend of approximately $113 million or $0.71 per share as well as the authorization of our $0.16 per share quarterly dividend, and we continued to repurchase shares during the quarter. We remain committed to returning $300 million of capital to shareholders in 2023 through a combination of quarterly and special dividends and our share repurchase program. On the whole, our distributions to shareholders reflect our commitment to our capital allocation goals, the strength of our balance sheet, the sustainability of our cash flows and the confidence we have in our business. We are very pleased with the performance we have delivered in 2023 to date and remain confident in our business as the year comes to a close. Our portfolio is strong with significant risk protection through our CRT program as is our balance sheet and ability to deliver returns.  I will now turn the call over to Dean.
Dean Mitchell : Thanks, Rohit. Good morning, everyone. We again delivered very strong results in the third quarter of 2023. GAAP net income was $164 million or $1.02 per diluted share as compared to $1.17 per diluted share in the same period last year and $1.04 per diluted share in the second quarter of 2023. Return on equity was 15%.  Adjusted operating income was also $164 million or $1.02 per diluted share as compared to $1.17 per diluted share in the same period last year, and $1.10 per diluted share in the second quarter of 2023. Adjusted operating return on equity was 15%. Turning to revenue drivers. Primary insurance-in-force increased in the third quarter to a new record of $262 billion, up $4 billion or 2% sequentially and up $20 billion or 8% year-over-year. New insurance written of $14 billion was down $1 billion or 5% sequentially and down $1 billion or 4% year-over-year, primarily driven by lower mortgage originations resulting from continued elevated interest rates. Persistency remained elevated at 84% in the third quarter, flat sequentially and up 2 percentage points year-over-year. Given that approximately 1% of the mortgages in our portfolio had raised at least 50 basis points above the prevailing market rate, we anticipate continued strength and persistency which will help hedge against lower production from higher mortgage rates.  Net premiums earned were $243 million, up $5 million or 2% sequentially and up $8 million or 4% year-over-year. The increase in net premiums earned sequentially was driven primarily by insurance-in-force growth and slightly lower ceded premiums. Our base premium rate was 40.2 basis points, down 0.1 basis point sequentially and 0.8 basis points year-to-date. As a reminder, base premium rate is impacted by a variety of factors and tends to modestly fluctuate from quarter-to-quarter. Year-to-date, the decline in our base premium rate continues to stabilize and is in line with our expectations. Our net earned premium rate was 37.3 basis points, flat sequentially, reflecting changes to the base rate in addition to modestly lower ceded premiums in the current quarter. Investment income in the third quarter was $55 million, up $4 million or 8% sequentially and up $15 million or 39% year-over-year. The rise in interest rates in the current rate environment are favorable for our investment portfolio as our new money yield was over 5% and our portfolio book yield increased to 3.5% for the quarter. As of quarter end, unrealized losses in our investment portfolio increased by $58 million to $497 million. As I've mentioned, we generally do not expect to realize these losses given our ability to hold the securities to maturity. Turning to credit. Losses in the quarter were $18 million as compared to a benefit of $4 million last quarter and a benefit of $40 million in the third quarter of 2022. Our loss ratio for the quarter was 7% compared to negative 2% last quarter and negative 17% in the third quarter of 2022. Our losses and loss ratio were driven by an uptick in the current quarter delinquencies, partially offset by favorable cure performance, primarily on 2022 and earlier delinquencies that remained above our expectations and resulted in a $55 million reserve release in the quarter. New delinquencies increased sequentially to 11,100 from 9,200. Our new delinquency rate for the quarter was 1.2%, reflective of ongoing positive credit trends and primarily driven by historical seasonality and the normal loss development of new large books. We continue to book new delinquencies at an approximate 10% claim rate, reflecting our prudent measured approach to reserving in this dynamic environment. Total delinquencies in the third quarter increased by approximately 1,100 to about 19,200. The associated delinquency rate increased 11 basis points to 2%. We continue to deliver solid expense performance that reflects the ongoing benefits of our cost reduction actions. Operating expenses in the quarter were $55 million, approximately flat sequentially and down $3 million or 5% year-over-year. The expense ratio for the quarter was 23%, flat compared to the second quarter of 2023 and down 2 percentage points year-over-year. We continue to expect costs for the full year to decline 6% to $225 million. Moving to capital and liquidity. We continue to operate from a position of financial strength and flexibility. Our PMIERs Sufficiency remained strong at 162% or $2 billion above PMIERs requirements which is flat to our second quarter 2023 results. At quarter end, we had $1.5 billion of PMIERs capital credit and $2.9 billion of ceded risk provided by our third-party CRT program which currently covers 91% of our risk in force. Turning now to capital allocation. We remain committed to our capital prioritization framework, which balances maintaining a strong balance sheet, investing in our business and returning capital to shareholders. As Rohit mentioned, we are pleased with the solid initial progress we've seen from Enact Re since this launch last quarter. Enact Re continues to deploy capital and to date has participated in 4 Fannie Mae and 2 Freddie Mac reinsurance transactions. Enact Re's commercial success will drive any potential future funding, and we remain excited about its long-term growth potential.  We returned a total of $32 million to shareholders during the third quarter, consisting of the $0.16 per share or $26 million quarterly dividend and share repurchases totaling $6 million. Year-to-date through October, we have repurchased $78 million in stock and have $96 million remaining on our current share repurchase authorization. As we said in the past, we will continue to deploy capital towards share buybacks opportunistically. All in all, to date, we have returned approximately $150 million to shareholders between our quarterly dividend and share repurchases, and we remain committed to returning $300 million to shareholders in 2023. Towards that end, the Board authorized our quarterly dividend of approximately $26 million or $0.16 per share and a special dividend of $113 million or $0.71 per share both payable on December 5, 2023. Overall, we had another strong quarter and are well positioned as we enter the final quarter of 2023. Going forward, we will remain focused on prudently managing our risk, driving cost efficiencies and maintaining a strong balance sheet while executing against our capital prioritization framework.  With that, I'll turn it back to Rohit.
Rohit Gupta : Thanks, Dean. Looking forward, we will continue to pursue prudent growth opportunities and disciplined capital allocation that balances financial strength and policyholder support, investment in the business and capital returns. Overall, Enact is well positioned to continue to serve our customers and their borrowers, grow our franchise and deliver strong performance and value creation for our shareholders.  I'll close by saying thank you to our talented team for all you do and for driving us forward. Operator, we are now ready for Q&A.
Operator: [Operator Instructions] And our first question comes from the line of Bose George with KBW. Your line is now open. 
Bose George: Hey, everyone. Good morning. On capital return going forward, is the plan to target a certain level of capital return, like the $300 million you talked about this year. And then the split between buybacks and dividends, ends up being more opportunistic? Or just what's kind of the philosophy going forward?
Dean Mitchell : Yes, Bose, good morning. Thanks for the question. I think you hit it kind of on the head in terms of the mix of capital return. I think it's really going to be dictated by the opportunity provided in our share repurchase plan. The level of share buybacks will ultimately kind of dictate ultimately what gets returned via special dividend at the end of the year.  I think when we think about our quarterly dividend, we think about it across a bunch of different dimensions, certainly competitive, but also and probably most importantly, what is durable, not just in our kind of base case forecasting. But through some level of stress, we want to make sure that the quarterly dividend has that level of durability and we have that confidence to return that through cycles.
Bose George: Okay. Great. That makes sense. And then just switching to the investment portfolio, what's the time frame in which your portfolio kind of rolls into the new money yield, assuming rates remain stable going forward?
Dean Mitchell: Yes. Well, we have an effective duration of less than 4 years. I think it's about 3.5 years. So as you see today, we're investing -- our new money yields are roughly 5.5%. I think we exited the quarter just under 6%. And you are seeing that having an effect on the overall weighted average book yield on the portfolio, it ticked up about 10 basis points sequentially. So -- but more specific to your question, the duration of the portfolio is about 3.5 years.
Bose George: Okay. Great. Thanks. 
Operator: And your next question comes from the line of Mihir Bhatia with Bank of America. Your line is open. 
Mihir Bhatia: Good morning. Thank you for taking my question. I wanted to start maybe just on vintage performance. And I was curious on what you're seeing, particularly on the post-pandemic vintages. Are they performing in line with your expectations? I suspect it's better than what you've underwritten to. But I was just curious more in terms of your expectations and how they would perform maybe even compare them versus the 2018, 2019 vintages or where they are in their life cycle?  Are there other vintage curves or the loss curves on top of the 2018, 2019? The reason I ask is because, obviously, on the unsecured lending side, we've heard a lot about FICO inflation and some underperformance from these pandemic era vintages. So I was curious if you're seeing anything similar in your book or on the housing credit side?
Dean Mitchell: Yes. I think -- Mihir, thanks for the question. I think Rohit in his prepared remarks covered credit performance is very strong overall. I think that would characterize our view of the credit environment, credit performance to-date. Obviously, that's exemplified in some of the portfolio metrics that we published, delinquency rate of 2%, new deliq rate of 1.2% reflective of pre-pandemic levels, which is indicative of against strong performance.  Kind of more to your question, when we look more granularly at performance by attribute, we don't see any deterioration in performance across the credit spectrum. That's really ranging from the embedded risk characteristics, FICO, LTV, DTI but also on a vintage basis, there's really no deterioration that we're seeing relative to our expectations.
Rohit Gupta : And Mihir, just to add to Dean's point, I would agree that credit performance across the board continues to be very strong, as Dean said, don't see any deterioration in any credit cohorts. I would keep in mind that when we are talking about '18, '19 versus '22 vintages, they're just seasoning in different environments, macroeconomic environment and housing environment. So that is going to have an embedded difference.  And your question was how is it performing against our expectations. And I would say that's generally in line with our expectations because our expectations incorporate the most recent economic view. But if you basically normalize for that, that would be the primary factor driving the difference.
Mihir Bhatia: Got it. Maybe going back to the capital return question a little bit. Is there a rule of thumb like in terms of what will drive that going forward? Is there a target percent of net income or anything like that, that we should be thinking about as you -- as we think about 2024 start looking at that for capital returns?
Dean Mitchell: Yes. Mihir, I think it's less target-based and maybe more principles based. We look at things like the current macroeconomic environment, the prospective macroeconomic environment, our view on business trajectory, business results, both in an expected case, a stress case. We obviously look at the regulatory environment as well, what standards were held to, how those standards might change through time. So I think it's more kind of a triangulation of those considerations than a prescriptive formula.
Mihir Bhatia: Got it. And then just switching to the Core Specialty agreement you called out. I think they also mentioned you guys on their website as managing -- helping manage their reinsurance in that space. Is this like a new entry for them like they didn't do this before? And like you -- or was this a competitive takeaway where they were using someone else and now they're using you? I'm just trying to understand the plan with, I guess, Enact Re, right? Like is the idea that you're going to try to sign up more of these types of agreements where you're managing it for a reinsurer looking to come in already in CRT and reinsurance? Or are you looking to also put more of your own capital to work here?
Rohit Gupta: Yes, Mihir, thank you for the question. I would say this is more of an outcome of using our expertise that we already have in the mortgage insurance business, and we're beginning to deploy in the mortgage reinsurance space with GSE CRT. So Core Specialty was not participating in the mortgage reinsurance space, and we essentially started talking to them about their participation. They liked our expertise, our depth, our market intelligence, not only in the mortgage reinsurance space, but also what we do every day, which is look at the front end of the market, mortgage originators, different attributes and obviously, intelligence that we use in our risk-based pricing also in terms of depth at a very granular level and loan attribute level. So all of that led to Core Specialty using us to essentially start participating in the GSE reinsurance market. I would say that this is much more of a validation point for us versus a true kind of substantial contribution to our P&L. I would still think of Enact Re's primary kind of goal to be participating in non-private mortgage insurance kind of space and GSE reinsurance space primarily and then adding that advisory service that we provide to Core Specialty being an add-on. And if you are able to expand that to other companies who might be using somebody else or who are not in the space, I think that would be a plus and a validation of our expertise in the area.
Mihir Bhatia: Got it. Thank you for taking my questions. I’ll get back in queue. 
Operator: Your next question comes from the line of Rick Shane with JPMorgan. Your line is open. 
Richard Shane: Good morning, guys. Thanks for taking my questions. Look, we're in a unique environment, the purchase is at historically high percentage of mortgage originations, given the constraints in homes for sale, new home purchases are disproportionately high as a percentage of purchase volumes. That means that a great deal of originations are being driven by homebuilders. Can you talk a little bit about how that impacts the business, how you look at things like rate buydowns provided by the builders, whether they're temporary or permanent and shifts in terms of how you work with builders to drive business?
Rohit Gupta: Yes. Thank you, Rick. So I'll take this question. I think from our perspective, first, we agree with your points in terms of origination market being impacted by higher rates as well as broader inflation. And in this market, obviously, given the number of consumers who are locked in at very low interest rates, we also have a tight inventory, which means there is more focus on new homes and those new homes are basically driving more of the origination market.  So first thing, from a market participation perspective, that is a good thing for our business. As you know, private mortgage insurance is much more tied to the purchase market, and that essentially means that gives us a bigger origination market to participate in and also provides new inventory. Now coming down to builder performance, our builder portfolio performance kind of from both perspectives, recent performance and historic performance has been very similar to our overall portfolio, specifically on the topic of rate buydowns, we look at those programs, each program at a time and approve it for our own guidelines. And essentially, we see the same performance, consumers are appropriately qualified, there are no payment shocks.  And I know that there has been a topic of permanent rate buydowns discussed. We don't see a prevalence of permanent rate buydowns, we see more short-term rate buydowns, 1 year, 2 year, which are more economical for a mortgage originator to fund compared to a permanent rate buydown and the way the consumer is qualified, that gives us kind of a good performing and well-qualified loan on our books.
Richard Shane: Okay. And so what you're suggesting is that to the extent you're seeing rate buydowns from -- on loans available through either the originators or through the homebuilders that proportionately, you're seeing more short-term buydowns as opposed to permanent buydowns.
Rohit Gupta: Yes. We are seeing short-term buydowns and even for those short-term buydowns, the consumer is actually qualified at the full note rate, not at the bought-down rate. So if a consumer had a 1% buydown on upfront, the consumer is still basically being qualified at the prevailing market rate.
Richard Shane: Got it. Okay. Second question, and this is a follow-on to that. To the extent, the industry is -- the mortgage industry is increasingly concentrated around developments from those builders, is there any concern -- like if you think about purchase volume ordinarily, it's going to be very disparate across the country, fine, we're going to see regional concentrations due to migration. But is there anything within your model that says, okay, wait a second, if we're increasingly focused on these 25 or 100 developments that we're creating more correlation risk within the portfolio.
Rohit Gupta: Yes. So I would say in terms of concentration down to that level, we track our concentration at a state level, at an MSA level. As we have said in the past, we also have an ability to price our loans on an ongoing basis, down to the MSA level, and we do. And that view is driven by the economic conditions in that city, in that MSA, both on a current basis and our view moving forward, and it includes a view into home prices and housing conditions, I would say, in terms of tightness of inventory or too many homes coming to market. We subscribe to several different market views to make sure that we have a pretty well-rounded view down to the MSA level, and that's how we control our appetite. I don't believe that we see our concentration in specific developments kind of controlling our risk appetite because by the time our share of that development shows up on our books, you're talking about like MI penetration on purchased loans is somewhere between 20% to 25%, and we have 16% to 18% of that portion, we are talking about small numbers of loans that actually make it to our portfolio from any specific development.  And in the builder segment, I would say, our participation is very proportionate to our overall share. So it's not that we are taking on a specific subdivision for a builder and ensuring a lot of loans down to that level.
Richard Shane: Got it. Okay, thank you very much. 
Operator: And your next question comes from the line of Eric Hagen with BTIG. Your line is now open.
Eric Hagen: Good morning. A couple of follow-ups here. I mean, how much did the recent increase in interest rates, you feel like play a part in the level of the special dividend that you just declared? And then can you share what kind of returns do you think you're getting in the GSE CRT deals? And maybe just how much capital you feel like it could be directed there next year?
Dean Mitchell: Let me start off, Eric. So as it relates to the interest rate environment and the special dividend, I don't really think those are highly correlated. I don't -- I'm failing to see the correlation. I think really, more than anything, I'll go back, I think it was Bose's question on mix of returns of capital and the special dividend was really sized based on the opportunity we saw in the share repurchases that was much more directly attributable.  Interest rates, obviously, I guess if you -- maybe tying that question to an earlier question, when we think about how we're thinking about returns of capital in the future, interest rates are certainly part of our economic view, our prospective economic view that affect both the macro as well as our view of our expectations around business performance. So maybe that's the connection that you're trying to draw. And I think in that case, as we look forward, that will certainly be a consideration.
Eric Hagen: Okay. Yes, just curious what kind of returns you guys are expecting in GSE CRT deals.
Rohit Gupta: So I think on the GSE CRT deals, we have not given any specific guidance, Eric, on type of returns. What we have said is we like the quality of underwriting, and we like the returns on those transactions. And the way we actually structured Enact Re right out of the gate was and Enact Re is structured in a very capital-efficient, expense-efficient way and it leverages the ratings, the scale of EMICO and our entire insurance operation.  So we expect our returns to be very much in line with the market returns on those transactions. And we are continuously participating in, as I said in my prepared remarks, in every deal, at least up to this point, that has been coming to market. So that hopefully shows you that we find the returns attractive.
Eric Hagen: Yes. That's helpful. Lots of attention in the market around lenders having to buy back loans from the GSEs when there's a breach in the underwriting process of any sort, scratch and dent kind of loans. Can you describe how that maybe impacts you guys and just how you see that maybe developing going forward?
Rohit Gupta: Yes, Eric, it's -- for us, that process has limited applicability to us. We have our own independent processes, both for non-delegated underwriting and for delegated underwriting where we do essentially quality assurance checks at different frequencies for different lender segments. And we have our own view of loan quality for each lender and each customer segment, I would say, that we keep an eye on. So if a lender's performance is deteriorating from a manufacturing quality perspective, we work with that lender to go through training, to remediate whatever the reason was and if their quality still doesn't approve, we move them from delegated to non-delegated. As far as GSE buybacks are concerned, I think those are more driven by rules that GSEs use to determine that loans have significant defects and then there's an entire process around early notification and then putting the loan back which has a very, I would say, disproportionate impact on lender economics because not only are you getting a loan back on your books, more than likely that loan has a 3% note rate in an environment where market rate is 7% to 8%. So you also take a mark-to-market hit on that asset. So from a quality perspective, as I said in our prepared remarks, we like the manufacturing quality in the market. We actually calibrate our processes with GSEs and give them feedback. So we are satisfied with manufacturing quality, and we see this much more as a secondary market issue between GSEs and originators.
Eric Hagen: That’s all I have. Thank you, guys. 
Operator: And your next question comes from the line of Geoffrey Dunn with Dowling. Your line is now open. 
Geoffrey Dunn : Thanks. Good morning. I'm curious what your thoughts are, is Bermuda adopts this 15% tax rate. Obviously, there might be plus or minuses around that. But how do you think that will affect the returns and competition in the GSE CRT market?
Rohit Gupta: Good morning, Geoff. Very good question. So as we said last quarter, to clarify our expectations at Enact Re, Enact Re does not benefit from any kind of tax efficiency based in Bermuda because taxes are consolidated in the U.S. As far as Bermuda participants are concerned with the higher taxes in Bermuda, if it's implemented, those participants might need higher returns from the transactions, everything else being held constant, that could actually lead the prices to be higher and for us, that would mean higher returns.  So I would expect that to be good for us. We are very happy with the quality and the return. So if there is less capacity from others and that means more capacity or higher prices for us, I think we see that as a net positive.
Geoffrey Dunn: Okay. And I know -- just following up with the prior question, can you qualify those returns right now? Are they at least on par with the primary U.S. business?
Rohit Gupta: So Geoff, very good question. And unfortunately, we also haven't given guidance on the U.S. primary returns recently. We generally describe our returns as attractive in the primary business. And I think the toughest thing in this environment is we see a lot of uncertainty in the market in terms of what scenario plays out. I know the market has been talking about some kind of weakness in economy, at least majority of the economies for almost 18 months, and that hasn't happened. So instead of picking a point estimate and giving you returns, we believe that our returns are very much in line with our expectations, and we believe the price increases we have done, including the price increases in the third quarter in the primary business makes the primary business attractive. And we do think that for the CRT business we are writing, those returns are also attractive to us. And especially, we are talking about different structures there. In the CRT market, we are writing mezzanine risk. So that obviously increases the attractiveness of those returns because in base case scenario, those transactions are not attaching from a loss perspective.
Geoffrey Dunn: Okay. Thanks. 
Operator: And we have no further questions at this time. I will now turn the call back over to Rohit Gupta.
Rohit Gupta : Thank you, Bella. And thank you, everyone. We appreciate your interest in Enact, and I look forward to seeing some of you next week at the JPMorgan Conference in Florida. Thank you.
Operator: This concludes today's conference. Thank you for your participation. You may now disconnect.